Operator: Good afternoon. Thank you for joining today’s call. With me today are George Colony, Forrester’s Chairman of the Board and CEO; Michael Morhardt, Forrester’s Chief Sales Officer; and Mike Doyle, Forrester’s Chief Financial Officer. George will open the call. Mike Morhardt will follow George to discuss sales. Mike Doyle will then follow Mike Morhardt to discuss their financials. We’ll then open the call to Q&A. A replay of this call will be available until November 25, 2016 and can be accessed by dialing 1-888-843-7419, or internationally 1-630-652-3042. Please reference the pass code 6897095#. Before we begin, I would like to remind you this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, beliefs, anticipates, intends, plans, estimates, or similar expressions are intended to identify these forward-looking statements. These statements are based on the Company’s current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The Company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I’ll now turn the call over to George Colony.
George Colony: Thank you for joining the call. We are pleased to have exceeded earnings per share operating profit in the third quarter. I want to turn to two areas where we are devoting much of our attention. One, how we engage and serve our clients and two, expanding our user business. I’ll be updating investors in these two areas periodically through the remainder of this year and throughout 2017. As we have moved the business away from IT and toward helping company is expand their revenue through customer centricity. We have also been updating our selling motion to match our strategy. On the Q2 call, I outlined how we are focusing, what we call the ideal client profile. Vertical markets that are most impacted by the age of the customer. Our ICP continues over 20,000 organizations worldwide drawn from 12 vertical markets including potential services, automotive, business services and transport and logistics. On the Q2 call, I outlined a new role that we have created in sales the client success manager or CSM, who works with accounts to drive engagement and increase renewal rates. We are creating a second role called the solution partner or SP, who work within accounts to architect new solutions, driving enrichment in new business. These two roles will increase the size of relationships and renewal rates both simplifying the experience for our premier accounts. 50 clients are presently being served by CSM’s and SP’s and early results are very encouraging, those sales groups exceeded plan in the third quarter. In addition to these changes for our premier accounts, we are growing our inside salesforce to serve smaller clients who buy limited set of products. Overtime as these accounts grow some will be graduated into the premier sales group. The Company is expanding its inside salesforce to a lower cost location in the United States, which will become one of our core sales hubs. So to reiterate the purpose of these improvements is to drive enrichment, increase renewal rates, increase sales productivity, and improve the client experience. The second area focus is expanding and retaining our base of user accounts. The age of the customer is not equally impacting all large organizations. Timing will be variable according to vertical markets, competitive pressures and customer fluidity. In winning new user accounts, we are closely managing who we pursue ensuring that we stay in our ICP to target those companies that are most threatened by the new market dynamics. Our highest attrition of user accounts occurs in the first two years of tenure. We have analyzed the behaviors of clients and have found that of the 16 total activities they perform with us a subset of four to five specific activities correlates highest with renewal. And clients that consistently participate in those activities renew at 11% higher rates. The enhancements we are making to our selling motion will ensure the clients engage with Forrester in the right way at the onset of their contracts. This is important because renewal rates improve as clients get over the two-year mark and increase tenure with Forrester. Our top 20 user accounts have an average tenure of 21 years. I wanted to give an update on two of our products. First of all, the age of the customer RoleView package, we call it AOC package and the customer experience index. The AOCC was designed for those CIOs who are building out their business technology agenda to win, serve and retain their customers. And this product which in Q4 is beginning its first round of renewals give this particular breed of CIOs analysis in three areas, one, customers, two marketing technologies, and three digital technologies. This is a very unique offering. Other providers may give a view to tech but not marking in business. Well, others give a view to marking a business but not to tech. We have the only offering that captures the synergies between both. And early results are encouraging. The AOC it is renewing at appreciably higher rates than the BT or M&S RoleView seats. We are expanding the reach for the customer experience index this is our product that gives data on the experiences of 950 brands worldwide. This week we signed a partnership with MaritzCX to enable Maritz’s clients to benchmark their customer experience via this CXi dataset. This deal will widen the influx and visibility to CX Index, we’re generating ancillary revenue, and we’ll be announcing other partnerships to the index in a very near future. A final note on the CX Index, up until Q2 the product was delivered to clients in slide decks and static tables. As of September, we are now delivering the index in a fully digital SaaS model, enabling clients to create custom cuts, quick comparative tables and correlations with the Net Promoter Scores. Early feedback has been very positive. Forrester’s visibility has been very high during the third quarter and then it’s continued into the fourth quarter. A number of Forrester analyst presented at the Dreamforce Conference in San Francisco in September including my keynote on how companies must now operate with a customer obsessed posture. In late September, we hosted our first B2B marketing leadership event with sponsors including LinkedIn and Salesforce and speakers from DocuSign, Arrow Electronics and Eaton Corporation. Last week, our customer experienced Westform was held in San Francisco and this event now has as many attendees as our premier New York City CX event. Sponsors included IBM, KPMG, PwC and E&Y and outside speakers included executives from Facebook, Expedia and MasterCard. Forrester’s CX business continues to expand further establishing the Company as the worldwide CX leader. And I’m glad to report that our events businesses having a very solid year and sponsorship renewals for 2017 are running ahead of plan. So to conclude, I’m happy that we’re on track to achieve original guidance and goals for the year. And I now like to pass the call over to Mike Morhardt, who will give more color and how we’re engaging and serving our clients. Mike?
Michael Morhardt: Thanks, George. In Q3, Forrester sales organization continued to concentrate our efforts on capitalizing on the age of the customer market. As George mentioned, the age of the customer market is significant, and we are aligning our resources to exploit this massive opportunity. This effort, which began last year is broken into three key initiatives. First, as George mentioned, we need to segment our clients based on those clients that represent the greatest opportunity to Forrester. These clients and prospects align to our AOC strategy and have shown the greatest propensity to grow their Forrester spend across all of our products and services. These clients are considered part of the ideal client profile that George mentioned and will be sold in service through our premier sales team. The second initiative is to realign senior resources in key investments to these premier clients and ensure we exploit this opportunity. The final initiative is to develop a low cost sales and service model for clients outside of our ICP to maintain and grow these clients as they migrate into the age of the customer. These clients will be sold in service to our core sales team. We made excellent progress in Q3 on each of these initiatives. First, by the end of 2016, we will have thoughtfully migrated 75% of all of our clients either into the premier selling motion or the core selling motion. The premier selling motion is for high potential ICP clients and the core selling motion is for non-ICP clients. Our vendor clients are already service and sold to a very specific vendor selling motion. Also in Q3 we tested our new resource alignment with one premier sales team and we saw excellent results from a behavior metrics and results perspective. We will continue to migrate more teams into these new motions over 2017. Finally, we recently announced that will be opening a lower cost inside sales office in Nashville, Tennessee. This new core sales hub open in 2017 and allow us to accelerate and expand our headcount growth while keeping cost in line. From a performance perspective in Q3, we saw strong year-over-year growth from our premier core in APAC teams. Our premier team is particularly – in particular continues to perform above expectation, which supports our move to this new client engagement model. Both our core and APAC sales groups grew at double-digit rates year-over-year. Our strategic sales group continue to struggle on the retention enrichment front. As George mentioned, we are actively identifying retention drivers for these teams and building targeted client engagement, marketing and product campaigns to improve retention and pipeline growth in Q4. Our European team saw increase in sales attrition, which led to below expectations performance for the quarter. We have accelerated our backfill plan for those sales teams and plan to be a full strength by the end of the year or very early Q1. On a product note, we continue to see the migration of our clients and prospects to the AOC research offering. As a reminder, this offering for research and leadership board clients allow to make it access to both the business technology and the marketing and strategy research. It is highly differentiated from any other research offering on the market and our clients are embracing it. We released this offering in Q4 of 2015 and we saw an immediate impact and has continued for the first three quarters of 2016. In Q3, we saw an average fee price for these seats 56% higher than for our traditional BT and M&S seats. Finally, as I mentioned on the last call, we slowed headcount additions in the first half of the year as we continue to invest in our new selling motion and the inside sales organization. We saw a bump in sales attrition in specific markets like Europe. With the announcement of our new location in Nashville, we will be ramping headcount in Q4 in early into 2017 with the goal of double-digit increases for 2017. These additions will be across both premier and core and across all geographies. With that, I’ll turn it over to Mike Doyle for the financial update.
Mike Doyle: Thanks, Mike. I’ll now begin my review of Forrester’s financial performance for the third quarter of 2016, including look at our financial results, the balance sheet at September 30, our third quarter metrics, and the outlook for the fourth quarter and full year of 2016. Please note that the income statement numbers I’m reporting are pro forma and exclude the following items stock-based compensation expense, amortization of intangibles, reorganization costs and net gains and losses from investments. Also for 2016, we continue to utilize an effective tax rate of 40% for pro forma purposes. For the third quarter of 2016, Forrester fell short of revenue guidance, but exceeded pro forma operating margin and earnings per share guidance. While revenue results did not meet expectations, they do reflect ongoing robust growth in our advisory and consulting services, which can be uneven from quarter-to-quarter. As we’ve mentioned before, we expect some bumps in the road as we continue build up to double-digit growth and we consider this quarter’s top line results to be just that. Expenses are trending below targeted levels because of a higher amount of open positions and our continued focus on expense management. This resulted in driving operating margin and earnings per share above expectations. Now, let me turn to more detail review of our third quarter results. Forrester’s third quarter revenue increased by 4% to $77.4 million from $74.8 million in the third quarter of 2015. Currency did not have a material impact on revenue growth for the quarter. Third quarter research services revenue increased 1% to $52.7 million from $52.2 million last year and represented 68% total revenue for the quarter. Third quarter advisory services and event revenue increased 10% to $24.7 million from $22.6 million in the third quarter of 2015 and represented 32% total revenue for the quarter. The international revenue mix was 23% for the period ending September 30, 2016 unchanged compared to the same quarter of last year. I would now like to take you through the activity behind our revenue, starting with our research product. Forrester’s published research and decision tools enable clients to better anticipate and capitalize on the disruptive forces affecting their businesses and organizations. We believe Forrester Research provide insights and frameworks to drive growth in a complex and dynamic environment. In the third quarter of 2016, Forrester’s research library included 60 playbooks. The addition of 356 new documents and we hosted 29 webinars for our clients. As of September 30, 2016, the top three research roles for the CIO with 8,587 members, application development and delivery with 5,658 members, and analyst relations with 5,033 members. On to our Forrester Connect offerings, which encompass our leadership boards and executive programs. The Forrester Connect offerings are designed to help clients connect with peers and Forrester’s products and professionals and to coach executives to lead far reaching change within their organization. As of September 30, 2016, Forrester’s Connect had a total of 1,457 members down 5% compared to the same time last year. Member declines are largely driven by the elimination of unprofitable packages in our BT councils coinciding with the streamlining of our IT oriented councils. Membership in our M&S leadership board to stabilize with key councils like the customer experience professional and the CMO continuing to grow at healthy rate and our new CMO executive program also continues to perform above expectations. Our data products and services are designed to provide fact based customer insights to our clients. Clients can leverage our data products and services or choose to have us conduct custom data analysis on their behalf. For the third quarter revenue decreased by 4% due to a decline in our revenue from our legacy CX Index product. As you heard from George, in September, we launched our new digitally interactive CX Index platform, a subscription based product that we believe will continue to fuel growth in our data business in the future. Forrester consulting, which includes our advisory and consulting business, so our total revenue for the third quarter increased 9% compared to the prior year. As has been the case for most of the year growth was primarily driven by ongoing strong demand for our content marketing and advisory services. In our events business that we held three forms in the third quarter. In Asia, we held our CX marketing forms. In Singapore and in Shanghai and in Washington, D.C., we held our first U.S. government customer experience form. I’ll now highlight the expense and income portions of the income statement. Operating expenses for the third quarter were $67.7 million, up 3% from $66 million in the prior year. Cost of services and fulfillment increased by 3% due to higher outsource expenses related to our consulting and our new digital reprints product as well as annual merit increases. Selling and marketing expenses increased by 1% compared to the same period last year mainly due to annual merit increases. General and administrative costs increased by 7% due mainly to higher professional services expenses. Overall headcount increased by 1% compared to the third quarter of 2015 and was essentially flat to the second quarter of 2016. At the end of the third quarter, we had a total staff of 1,332 including a research and consulting staff of 488 and a sales staff of 514. Research and consulting headcount decreased by 1% compared to the third quarter of 2015 and compared to the second quarter of 2016. Overall sales headcount was essentially flat compared to the third quarter of 2015 and declined by 2% compared to the second quarter of 2016. Sales rep headcount declined by 1% compared to the third quarter of 2015 and declined by 5% compared to the second quarter of 2016. Operating income was $9.7 million or 12.6% of revenue compared with $8.7 million or 11.7% of revenue in the third quarter of 2015. This is an increase of 12% year-over-year. Other income for the quarter was $229,000 compared to $159,000 in the third quarter of last year. Net income for the third quarter was $6 million and earnings per share was $0.32 on diluted weighted average shares outstanding at $18.4 million compared with net income of $5.5 million and earnings per share of $0.30 on $18.1 million diluted weighted average shares outstanding in the third quarter of last year. Now I’ll review Forrester’s third quarter metrics to provide more perspective on the operating results for the quarter. Agreement value this represents the total value of all contracts to research and advisory services in place without regard to the amount of revenue that has already been recognized. As of September 30, 2016, agreement value was $241.1 million, up 3% from the third quarter of 2015 and up 5% adjusted for foreign exchange. As of September 30, 2016, our total for client companies was $2,482 essentially unchanged compared to last year and compared to the last quarter. Client count, unlike our retention and enrichment metrics is a point in time metric at the end of each quarter. Forrester’s retention rate for client companies was 76% as of September 30, 2016 unchanged from the prior quarter and down 4 points compared to last year. Our dollar retention rate remained unchanged compared to the prior quarter at 88% and decreased by 3 points compared to last year. Our enrichment rate was 95% for the period ending September 30, 2016, down 1 point compared to the prior quarter and down 2 points compared to the third quarter of last year. We calculate client and dollar retention rates and enrichment rates on a rolling 12-month basis, due to the fluctuations which can occur between quarters with deals that close early or slip into the next quarter. The rolling 12-month methodology captures the proper trend information. Now I’d like to review the balance sheet. Our total cash and marketable securities at September 30, 2016 was $133.2 million, which is an increase of $32.1 million from $101.1 million at year end 2015. Cash from operations was $5.3 million for the quarter as compared to $3.5 million in the third quarter of last year. We received $5.8 million in cash from options exercise for the quarter as compared to $1 million in the third quarter of last year. We also paid a dividend in the third quarter which amounted to $3.3 million or $0.18 per share. Accounts receivable at September 30, 2016 was $36 million compared to $37.4 million as of September 30, 2015. Our day sales outstanding at September 30, 2016 was 43 days compared to 46 days at September 30, 2015. And accounts receivable over 90 days was 8% at both September 30 of this year and last year. Deferred revenue at September 30, 2016 was $126.2 million an increase of 2% compared to September 30, 2015. So in closing despite missing the low end of revenue guidance, we had a strong quarter financially. We beat operating margin and earnings per share expectations, with operating margin growing 12% on the quarter and 13% on a year-to-date basis. Cash flow from operations has grown 27% year-to-date as compared to prior year with our cash balance at $133 million at the end of the third quarter. The Board of Directors has increased our share repurchase authorization to $25 million and we plan to be opportunistic with share repurchases going forward. On the operating front, we’ve made a lot of progress with our customer success manager and solution partner roles and plan to expand these going into next year. We expect that this will have a meaningful impact on our retention and enrichment metrics in 2017. Mike, spoke about the addition of a new sales office an insight sales organization in Nashville. We are very excited about this and our overall expansion of our salesforce in 2017. We’ve consciously restrained sales headcount growth in 2016. We just had the commensurate effect of limiting our agreement value growth during this year. We will be accelerating sales hiring going forward the intention of growing at double-digit rates. In summary, we’re on track to achieve our financial objectives for the year. More importantly, we’ve made a lot of progress behind the scenes on our operational objectives. We expect this become more evident in our top line results as we accelerate sales headcount going into 2017. Now let me take you through the specifics of our guidance for the fourth quarter and full year 2016. As a reminder, our guidance excludes the following, amortization of intangibles assets, which we expect to be approximately $200,000 for the fourth quarter and approximately $800,000 for the full year 2016. Stock-based compensation expense of $2 million to $2.4 million for the fourth quarter and $7.7 million to $8.1 million for full year 2016. Reorganization cost of $1 million for the full year of 2016, and any investment gains and losses. Forrester is providing fourth quarter 2016 financial guidance as follows; total revenues of approximately $80.5 million to $84.5 million, pro forma operating margin of approximately 8.5% to 10.5%, pro forma effective tax rate of 40% and pro forma diluted earnings per share of approximately $0.22 to $0.27. Our full year guidance reflects the tightening of the revenue range, which is typical with one quarter remaining in the year. Our revenue guidance remains within the original guidance we issued in February of this year. We are increasing the range for both margin and earnings per share as compared to our February 2016 guidance for the year. Therefore our full year 2016 guidance is as follows. Total revenues of approximately $323 million to $327 million, pro forma operating margin of approximately 11% to 12%, pro forma effective tax rate of 40% and pro forma diluted earnings per share of approximately $1.19 to $1.24. We provided guidance on a GAAP basis for the fourth quarter and full year 2016 in our press release and 8-K filed today. Thanks very much. And I’m now going to turn the call back over to the operator for the Q&A portion of the call.
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] And we have Tim McHugh from William Blair in line with the questions. Please go ahead.
Tim McHugh: Yes, thanks. First just on Europe, can you give us a little more color, it sounded like you mentioned a couple of different issues, one with retention both the client as well as kind of the performance of the salesforce. Is there anything broader kind of connecting those that you are seeing happening with the business in Europe?
Michael Morhardt: No, actually we’re not. Europe was more of a story of sales attrition than it was for performance. If we had the headcount I think our performance would have been much better. And then if you breakdown the sales attrition about 50% of it was performance related, about 50% of it was voluntary. We saw the attrition hit us kind of in the July, August timeframe. There was no real rhyme or reason in fact the team that lost the most amount of people was a top performing team and haven’t had anything greater than 10% attrition in last three years. And so they all sort of came at one time. So it wasn’t isolated to one particular team. It was isolated to a couple of different groups, different countries. But it wasn’t necessarily anything product related or macro economically…
Tim McHugh: Was it Brexit related?
Michael Morhardt: No. There was couple of individuals who left and they could maybe attach it to it. But the overall – we saw a spike in attrition. We weren’t able to react to it as quickly as we wanted to. We put a game plan in place to address it in Q4. We’re hope to be backup to full strength and it takes a little bit longer to hire in Europe. So some of that’s going to bleed over in Q1.
Tim McHugh: Okay…
Michael Morhardt: Is that answered your question?
Tim McHugh: Yes, yes, that’s helpful. There was a comment on the salesforce that the total salesforce will grow double-digits next year. Is that the plan?
Michael Morhardt: It is correct. So a percentage of that will be in Nashville as we build that out. But we’re looking to grow our premier sales organization, Asia-Pac, Europe, our core sales organization outside of Nashville. But there will be a percentage if it’s double-digit, unless its call it 10, two or three points might be associated just specifically with Nashville.
Mike Doyle: I think, Tim, this is Mike Doyle. Just to follow-up, I think the comments Mike made about the selling motion, I think George made the same comments. We’re feeling really good about the selling motion now and what’s happening. So we’re now in a position where I think we can begin to start accelerating sales headcount growth. And as you know once you get into that there’s always been a feet on the street games. So we get back to double-digit that’s what’s going to drive agreement value growth in a meaningful way over the course of next year.
Tim McHugh: Okay, thanks. And then just on the buyback, I saw you increased it but no buy – repurchasing in the quarter. Any reason for that I guess?
Michael Morhardt: No. We didn’t make any purchases during this past quarter Tim. But we just completed our Board meeting and we had a healthy discussion about what we want to do and I think the Board has a number of things they want to get after, but one of them was – we think it’s going to be an opportunistic time for us to buyback shares. I mean the tech sector is pulling back in general. And I think we could see an opportunity here to buy and taking more shares. So we’re looking forward to doing that.
Tim McHugh: Okay. All right, thank you.
Michael Morhardt: Thanks, Tim.
Operator: Our next question comes from Allen Klee from Sidoti. Please go ahead.
Allen Klee: Yes, hi. I wanted to try to understand a little bit, you’ve been seeing improving margins, but you also talked about how you held back on some of your cost with your salesforce and stuff. So how do you think about it going forward of? Do you think that we still have opportunities to improve margins over time? Or do you think that it gets taken away a little bit with sales going up?
Mike Doyle: It’s a great question, Allen. Our intent is that we plan to both grow headcount and grow margins. So what’s going to happen is – internally we have this model. We continue to move resources into places that are going to drive topline for us and continue to maintain tight expense controls against everything else. So our intent is to grow margin next year and to grow the top line.
Allen Klee: Okay. And then also in terms of enrichment I think you said 95% for the quarter, but there was a time back when I was – I know tracking over 100% like 104% or so. And what’s the strategy to try to move it back to over 100%?
Michael Morhardt: Allen, it’s Mike Morhardt. It has a lot to do what George and I described. I think as we started to look at what our clients were coming to us for. It wasn’t about one single product, they were looking for a combination of products. The role that George mentioned the solution partner allows us to pull a bunch of different products together for a client to deliver a solution. The early results in where we’re leveraging this particular type of individual. We’re seeing a much more sizable types of contracts and solutions incorporating multiple types of products, data, consulting, research. That’s what we need to do to start to drive enrichment. It starts with retention, which is what the CSM rolled us and that will be critical for our retention moving higher. But the solution partner role is there and we’ve already started to see it driving the enrichment number over 100%.
Allen Klee: Okay, great.
Mike Doyle: Allen, it’s Mike Doyle. If I could comment I mean I like the data that we’re seeing in the teams where Mike has implemented this. It’s really very encouraging. The CSM role is really getting out all retention piece and we like what the solution partners doing for us. So as we expand we’re very bullish about what that’s going to do and get us back to those historical level as you mentioned, because that’s where we’re targeting, that’s where we need to get to.
Allen Klee: Great, okay. And then can you talk what about the adoption of the CX Index in term how that’s going. And then I know the opportunity is there to then translate that into potentially more like data work. And how could we think about kind of what the opportunity is there with that?
George Colony: Yes. Just a few thoughts here, Allen, this is George. Remember we’re tracking 950 brands worldwide now and that number is going to go over 1,000 in 2017. So there is just a natural base there to sell the CX Index into. We started its selling in 2014 and in 2015 is the second year and it is generally on target here. We had some resistance from companies who use Net Promoter. So what we’ve done in the new SaaS version of the CX Index, as we actually cooperated the Net Promoter questions with our survey work. So we’re actually able to yield up now. Not just the CX Index, but also Net Promoter and then show correlations between them. Net Promoter is very popular in Europe as an example. And so it was a very critical benefit we had to – or feature we had to add to the server. So I think we’re very happy with where it is tracked to-date. The reason we’re doing these other deals is that those companies have actually approached us. They’re very attracted to the – especially the emotional – the emotion that we’re covering in the CX Index, [indiscernible] customer SaaS, it’s more emotionally focused. And companies like Maritz and we’ll have some of the deals want to capture that type of data. So it’s a way for us to – again augment of revenue with those partnerships, but also to begin, as we continue to move CX Index out of the brand worldwide. That helps?
Allen Klee: Yes, very. Thank you. And then how should we think about incremental margins on this business as revenue accelerates next year?
Mike Doyle: I think you still should look at – we have a couple things going on. I think going back to what is for us our traditional, in our core RoleView Research is still our highest margin product has been and to the degree that begins accelerated. Mike talked about some of things we’re doing there with an AOCC. As that grows the incremental margins are really high on that piece of business. That’s the high, you go down to the next tier you get into depending – our core data products that are going to be SaaS like to George’s point those things have high margins. Custom work less, so FLB and our Connect products where there’s a higher touch is sort of next piece. And we have our advisory and our consulting businesses. And we within that – within consulting you’ve got content marketing, which is incredibly productive and this is very high margin the way that’s delivered. The strategy consulting business is where Mack Brothers who run that business is looking to increase margin. And I like what he’s doing structurally with that. We’ve already seen in his short tenure an improvement on the margin performance. So advisory and the consulting business, while there are lowest and we like what’s going to happen there. I think the key for us you’ve seen a shift in the last year – couple of years as we’ve built out consulting. So we’ve shifted a little bit more towards our [indiscernible] and that was just as we grow in those businesses, but now as we get into next year a lot of energy around growing the syndicated business, we like to see that mix start to move back towards the 70% target. So if that happens you’re going to get a natural improvement in margins just by sort of that shift if you will and just the ongoing growth. Once we get these sales reps up and running – Mike’s growth is going to be feet on the street with some productivity. So that will grow proportionally, but everything else the model leverage is up nicely as we get topline growth. We don’t need to grow our core G&A and support cost in line with top line growth. Those things can grow at low-single digits. And research tends to grow, also in a single-digit manner even if we’re growing in double digit. So we just have to sort of get out there and get this momentum going in the topline and the rest takes care of itself.
Allen Klee: Okay. Thank you. And my last question is, if you compare this quarter to maybe last quarter or the quarter before last year, are there any comments on any – how you would say there have been any changes in the competitive environment or your customers willingness to spend?
Michael Morhardt: From a macro perspective, there are certain markets that have been more effective than others. We see it in the Middle East and in Brazil geographically. I will say that from a competitive perspective, we’ve got different types of competitors. As I mentioned on the AOCC it has been something that’s been an eye opener for us, because it something that really resonates with our clients. So that’s on the traditional research front. We – as George mentioned on the CX Index side, we go head to head with a couple of different competitors. Now we’re partnering with some organizations to get on their platform to get greater exposure. On the consulting front, we do – we are going against the Big Four, we go against everybody from Boutiques to the Big Four. But I think when we’re in our sweetspots, which is around CX, which is around Digital Transformation. We win a lot more than we lose and it’s just picking those right accounts. I think the biggest change that I would say Allen is that we’re targeting specific clients now in a different way. Once that really aligned to what we’re trying to accomplish, what they see the value in our services, it should overtime as we start to migrate our focus there, which we’ve already done as I mentioned 75% will be in a right selling motion by the end of the year allow us to easier to sell them and service them. And so we have – I haven’t seen any major changes economically, but nothing to point you from a results perspective.
George Colony: So just a comment here for you Allen, this is George. I’ve been a little surprised that how slowly some of the CIOs are moving this stock with the U.S. or the rest of the world. How slowly the CIOs are moving toward age of the customer. My number is about 15% – our number is about 15% of CIOs are in fact now cognizant of and building the business technology agenda. I think in the last year, we’ve been surprised that how slowly that’s moved. So that’s – I think a little nuance here, but you look at who are competing with them. Mike said it’s a different group. I mean I talked about KPMG and PwC being at our forms and sponsoring, but we’re also competing with them. Now we compete with them, but they’re also large clients of ours. So I would call them frenemies, that we do compete, but we also partner with them. There are some deals that are just too small for them. And so oftentimes we’ll find we can win those away from those types of companies. But I think that we’re tracking big competitors, because we’re going to where the puck is going. We are skating out in front where the future is headed. And that I think it’s a good sign for us.
Allen Klee: Thank you very much.
Operator: [Operator Instructions] And our next question comes from Vincent Colicchio from Barrington Research. Please go ahead.
Vincent Colicchio: Yes. Mike, can you give me some more color on why the member counts went down in the Connect offering? And how much – if it short of plan how much was that shortage?
Mike Doyle: Good question. Our actually – from our advantage point our Connect business is where we actually targeted to be at this point in the year. We had planned cleanup. We knew that was happening. So we didn’t plan that business for growth this year. It was really all about streamlining the offerings we had to get rid of those things that we felt, we there no longer in our sweetspot meaning the IT related ones and getting very focused on the remaining. So I think from that standpoint we did that. And we also cleaned up a lot of pricing on those things, so we cleanup offerings and pricing. So again where we targeted to be, I feel good about what’s going on with Connect. And probably the beginning in the year I should talk more about how to think about that business because for us we knew it was going to have this sort of this get stabilize, which is where we are now and then go to the build. So I think 2017 is going to be very much about the build in our Connect business.
Vincent Colicchio: Okay. And then Mike more hard on your – you talked about Europe, are any of the other sales regions, any of the other ones for significantly short of plan and if so what were the issues?
Michael Morhardt: So the three that we struggled with were specifically Europe as I mentioned strategic was another area, this is a group of clients that are not in premier, not in core in the process of moving into those particular selling motion made up primarily of user clients some of those clients are were in transition. So we saw some retention enrichment issues. They don’t spend enough to be consider premier at this point, but they’ll be moving in that direction. So they’re kind of in this middle ground and we saw some of it there. We also saw some softness in our partner business and it is in a couple of different areas, Middle East for sure. I think what just the price of oil and everything else that’s going on, we saw in financial services, a couple of clients downgrade that we weren’t expecting and then Brazil continues to be kind of a bit of an issue for us. But kind of our core business premier where it is right on track, core it tends to be a big Q4 business and it’s mostly on track. It’s just those other Europe strategic. And Europe it’s been on track all year. I mean they’ve had a great first half. We lost some sales headcount. We didn’t have enough players on the field to do what we need to do in Q3.
Vincent Colicchio: Okay. That’s it from me. Thanks.
Michael Morhardt: Great. Thanks, Vince.
Operator: And we have no further questions at this time. I’ll turn this call back over to Mike Doyle for final remarks.
Mike Doyle: Great and thanks everyone for being on the call. We appreciate it. We’re looking forward to seeing a number of you as we get out on the road in the fourth quarter.